Søren Skou: Good morning, everyone, and thank you all for listening in to our Earnings Call for the Second Quarter and Half Year of 2020. I'm Søren Skou. I'm the CEO of A.P. Møller - Maersk, and I'm joined here today by Patrick Jany, our Chief Financial Officer. So we are now 6 months into the COVID-19 pandemic. Right from the start, we decided that we would have 3 objectives during the pandemic that would guide all of our actions: the first one was protect our people; the second one, serve our customers; and the third one was to help the societies that we are a part of fight the virus. There's been many challenges throughout the quarter. But I'm very proud of the fact that we have been able to keep our global network running, keep the ports open, keep the warehouses and inland transportation operating throughout the pandemic. We have never been closed for business. The challenge is that our customers have had with their global supply chains have not been driven by an inability to get goods transported across the world, but rather a lack of buffer inventory and single vendor reliability. Our single biggest challenge has been the difficulties with getting our seafarers relieved when their tours were up due to travel restrictions, closed borders and lack of flights. And we continue to battle this problem, but we have started to make some real progress. All through the pandemic, our business has been negatively impacted by lower demand. In the second quarter, our volumes were down 14% in our Terminals and 16% in Ocean year-on-year. April was the worst month with Ocean volumes being down 20%. Volumes have sequentially improved since then. And we are now in August in mid- to high single digits down year-on-year. As a consequence of lower volumes, our revenue was down 6.5% in the second quarter of 2020. Despite the negative development in turnover, our results continued to improve. The second quarter was the eighth consecutive quarter with year-on-year improvements in operating earnings. EBITDA was up 25% year-on-year. And we again delivered strong cash flow with cash flow from operations at $1.9 billion and free cash flow from -- before dividends, share buybacks and acquisitions of $1.1 billion. Our net result in the second quarter almost tripled to $443 million. With this backdrop, we reiterate our previously announced intention to share a material part of the proceeds from the sale of the Total shares with the shareholder -- the shareholders through a share buyback. The first phase share buyback was completed in July. And as we said when we announced that back in May of 2019 when the program had ended, we would review the capital structure with the intention to distribute further. And we will do that in Q4 and then come out with a statement latest as part of the full year report in February of 2021. Despite the fact that we are in the middle of a pandemic with continued high uncertainty, we are today reinstating our full year guidance for 2020 with an EBITDA expectation of $6 billion to $7 billion, which should be compared with our initial guidance back in February of an EBITDA around $5.5 billion. Now moving on to the next slide. On this slide, we illustrate the strong trend that we now have in terms of improving earnings, returns and cash flow over the last 8 quarters. While we are not yet where we want to be in terms of return on invested capital, we were at 4.7% return on invested capital on a last 12-month basis in the second quarter. And in the quarter itself, our return on invested capital was actually 6.6% annualized. Free cash flow before distributions to shareholders and acquisitions came in at $3.2 billion on a last 12-month basis, which is more than 10% of our market cap and more than the net interest-bearing debt that we have before lease liabilities. Along with a strong cash flow generation, we kept our capital discipline, which enabled our cash return on invested capital to reach 12.5%. I'm frankly quite proud of the continued progress over the last 2 years, where we have not had the wind in our back. Actually, markets have been against us. Accelerating trade tensions have slowed down global trade. We have had to deal with an IMO 2020 that required us to pass on substantial costs to our customers. And we are now dealing with a pandemic which has caused a sharp reduction in demand. But all of that has not slowed our rate of progress over the last 8 quarters. While we are a cyclical business or considered a cyclical business, I think it's fair to say that our financial performance has been countercyclical in the last 2 years. We have shown that our product offerings and the agility we have in balancing supply and demand as well as our approach to cost in general means that we can meet customer needs and positively impact our performance at the same time. Our focus on profits and cash flow over market share in Ocean is paying off: the fact that we have kept our capacity steady around 4 million TEU for the last couple of years; the fact that we've become better at adjusting deployed capacity to match demand in an agile way; and the fact that we do not have a large order book neither on ships nor on terminals under construction has helped us through the pandemic. And with that, I will hand over to Patrick, who will walk you through the financials.
Patrick Jany: Good morning to all of you also from my side. Turning to Slide 8. We can certainly say that the financial highlight of the second quarter was the increase in profitability with a profit from Q2 rising to $443 million compared to $154 million a year ago. This improvement came exclusively from a higher operational profitability, which is all the more remarkable as it was achieved despite a 6.5% revenue decrease as a consequence of lower volumes in all businesses, especially in Ocean and Terminals & Towage, given the impact of COVID-19. Our continuous focus on profitability implied significant efforts in terms of capacity deployment, cost measures and pricing across the whole organization. Especially Ocean and Logistics & Services contributed significantly to the 25% increase in EBITDA, leading to an EBITDA margin of 18.9%, up from 14.1% a year ago. It is also worth mentioning the resilience of Terminals & Towage, which managed to fully offset a large decline in volumes. Consequently, EBIT increased 81% to $751 million compared to $416 million in Q2 2019, leading to an EBIT margin of 8.3% compared to 4.3% last year. The other positions had a fairly small impact on profitability. The increased depreciation, amortization and impairments was mainly caused by some impairments and the higher depreciation due to the Performance Team acquisition. And this was offset by the income from disposals, namely the disposal of our factory in Maersk Container Industry in Dongguan, the Pipavav consolidation and other minor disposals. Financial expenses increased $62 million, mainly caused by negative foreign exchange impact, partly offset by lower net interest expense from lower debt. And tax decreased slightly, which is mainly due to lower dividends received. All in all, profitability was therefore significantly up with an underlying profit of $359 million compared to $134 million in the previous year. Now turning to Slide 9. Cash flow from operations was strong, improving 60% to $1.9 billion on the back of an increase in EBITDA of $340 million, an improvement in net working capital of $124 million and a positive noncash impact of $204 million. Cash conversion, therefore, reached 110% compared to 86% last year. Free cash flow in the quarter was $1.1 billion after considering capitalized lease installments, gross CapEx and net financial expenses. Please note that we remained strict on our capital discipline and maintained our accumulated CapEx guidance of $3 billion to $4 billion in total for this year and the next. Now looking at the use of cash. We have made the acquisition of Performance Team and paid dividends and share buyback accumulating to a total of almost $600 million, all covered by the free cash flow of the quarter. Finally, we took some defensive decisions towards our balance sheet in the light of the risk of COVID-19 and secured additional facilities of $1 billion that you can see having a net impact of $900 million. This brings us to a $1.2 billion increased cash and cash equivalents over the quarter. The improved free cash flow led to a decrease in net interest-bearing debt of $400 million in the quarter to $11.6 billion, below the year-end 2019 level. It is also worth mentioning that excluding lease liabilities, net interest-bearing debt equals just $3.1 billion, on par with the year-end 2019. The let us now turn to the business development and starting with Ocean on Slide 10. Revenue in Ocean declined 8.7% due to a 16% decline in volumes caused by the COVID-19-triggered reduction in demand. However, the cost base improved significantly, led by lower cost due to the agile capacity deployment and lower bunker prices. This, combined with improved freight rates, led to a 26% increase in EBITDA and an EBITDA margin of 20.7%. Please note that in this quarter, Maersk Oil Trading contributed negatively to EBITDA, mainly led by unrealized loss on derivatives due to the increasing oil price during the quarter. Further progress was made in offering new solutions to our customers. As an example, Maersk Spot once again gained further traction, and by the end of the quarter accounted for more than 40% of spot volumes, allowing us to better optimize the utilization of our vessels and to provide a better service to our spot customers. On Slide 11, we have again this quarter illustrated in a waterfall bridge the main movements in EBITDA compared to the previous year. As you can see on the graph, the biggest movement is the 16% volume decline, which implied a negative impact of $634 million. This impact was in effect mostly compensated by the freight rate and the bunker price effect, which amounted to $305 million and $255 million, respectively. To offset the negative impact from the declining demand, we have been deploying an active capacity strategy. That means that we took out capacity in April to match the expected demand decline of 20% to 25% and have thereafter cautiously increased capacity where demand was stronger than expected. Going forward, we will continue with our strategy to closely match capacity with demand during these uncertain times. The agile capacity deployment meant that we idled more than 166 sailings in Q2, which led to a decline in container handling cost of $80 million as well as a decline in network cost and bunker consumption of $151 million. Further cost reductions, mainly in SG&A, were achieved and significantly contributed to the profitability improvement. The last post on the graph shows that due to an increase in oil price over the quarter, we have, in this quarter, the opposite effect as shown in Q1. We now do report a negative impact from unrealized derivatives of $79 million this quarter, which is purely a timing effect. Assuming a stable oil price, this position will neutralize in the coming months. Turning to Slide 12. Our total cost in Ocean declined 16% from the lower capacity, lower bunker costs and reduced time charter cost. We had a small positive impact from FX. And if you adjust for this, the total operating cost declined 15%. We had a tight capacity deployment, which led to a decrease in offered capacity, which was slightly more than a decline in the actual volumes as we expected the decline in volumes to be steeper. We deployed the capacity progressively back into the market throughout the quarter as a response to slowly increasing demand. Our total bunker cost declined 37%, led by a 25% bunker price decline, lower total consumption and further improvements in bunker efficiency. Given the significant volume decline, our unit cost increased 7.3% at a fixed bunker price. On the next slide, we are showing 3 graphs portraying the global demand growth, the effective supply and demand balance and the freight rate index, CCFI. What is key for us in Maersk is to focus on profitability and margins through managing our cost base by using an active capacity deployment strategy. This has, since February, meant that we have carefully watched demand and deployed capacity to match demand to the best of our ability, given the rapidly changing circumstances and support our customers. If we compare our own situation today with our situation after the financial crisis, we have been much more agile in the way we balance supply to meet the decline in demand and manage cost. And therefore, we have not, to the same extreme degree, seen such a negative demand-supply imbalance. Our tools to be more agile in our capacity deployment, so we can balance it to demand -- to the movements both up and down, include that we have a larger network, so we have more flexibility to adjust capacity downwards while still offer a strong product to our customers. Also, the fact that our business has turned more digitalized, like with Maersk Spot, which increases transparency and gives us better tools in utilizing our vessels. Turning to Slide 14. Our average freight rates increased by 4.5% in the quarter driven by higher short-term freight rates as our contract rates decreased because we are lowering the BAF element to contract rates as a consequence of the lower bunker price. Total volumes decreased by 16% as all trades contracted but led by Latin America and intra-Americas, where volumes declined 25% and 21%, respectively. As it looks today, we expect that the second quarter of 2020 was the trough in terms of volume and did see a gradual improvement over the quarter with April being mostly affected with volumes down close to 20% and June just short of a 10% decline. On Slide 15, we turn our attention to Logistics & Services, which despite the negative impacts from COVID-19, reported unchanged revenue. This is led by air freight forwarding that saw a temporary increase in the Asia-Pacific region due to the shortage of cargo capacity and by the inclusion of Performance Team from early April. This growth compensated our supply chain management, intermodal and inland services businesses, which were negatively hit by the effects of COVID-19. Gross profit increased 22% with the GP margin improving by 4.3% to 23%. And EBITDA more than doubled to $97 million due to higher margins in air freight forwarding, profitability improvements in intermodal and the inclusion of Performance Team. As mentioned earlier, we are excited about our upcoming acquisition of KGH Customs Services, and we look forward to improving our offering within custom services in Europe even further. The deal is expected to close latest in Q4 2020, pending regulatory approval. Slide 16 shows the development of gross profit and EBIT conversion in our Logistics & Services segment, which has showed a clear improvement in the last year as we have improved profitability in the segment, especially within intermodal, and now also in warehousing and distribution, despite the negative COVID-19 has on these type of businesses. A part of the improvement in this quarter is Performance Team, which contributed with $11 million to the EBITDA. The integration is progressing well despite of COVID-19. And we are already now seeing additional customers because of our increased warehousing and distribution services in North America. Finally, our EBIT conversion improved in the quarter. You can see on the graph on the right that when you exclude impairment and restructuring costs, we have an EBIT conversion in the high single-digit area. We are now working on improving this, which you can already see some indication of. To further improve these metrics, we will continue to focus on growing our business as we gain scale but also constantly review cost and structural measures. On Page 17, we turn to Terminals & Towage, which showed great resilience to the decline in demand due to the strong cost control. Revenue declined 9.6%, but EBITDA increased by 3% with a margin of 27%. Both businesses contributed to the strong performance. EBITDA in gateway terminals was on par with last year with an EBIT margin increasing by 2.9% to 25.7% while EBITDA in towage increased by 11%, mainly due to lower costs. Turning to the next slide, Slide 18. We have visualized the effects from volumes, revenue and costs on EBITDA of gateway terminals. Volumes declined a severe 14% in gateway terminals. The volume impact varied significantly across regions with Asia impacted the most with a 23% volume reduction and North America with a 17% reduction. Latin America and Africa and Middle East decreased the least by 9.3% and 6.2%, respectively. The lower volumes led us -- led to a 15% lower utilization, which had a negative impact on EBITDA of $64 million. However, this was fully offset by 3 factors: first, an improvement mix, which means that we had higher volumes in the most profitable ports; secondly, because of the challenges to the global supply chains in the quarter, we saw more storage income with positive contribution to EBITDA; and thirdly, we have managed to work on the cost base, for example, on SG&A, which had a $34 million impact on the EBITDA. On the next slide, we show the equity weighted EBITDA of our gateway terminals, both consolidated and JVs and associates, which was largely on par with last year and underlines the stability of earnings of this business. In the last 12 months, the total equity weighted EBITDA was $1.3 billion, of which JVs and associated contributed with $551 million. The cash contribution through dividends in the last 12 months has been $161 million or 29% of EBITDA with a payout ratio of 87% of net result. Turning to Manufacturing & Others. We reported a 17% increase in revenue in Maersk Container Industry and an 87% increase in EBITDA. This is partly due to cost reductions and partly due to some Q1 2020 production pushed into the second quarter as the factory was closed for some weeks because of COVID-19. With that, I pass over to Søren for the full year guidance.
Søren Skou: Thank you, Patrick. And yes, as I already stated, despite the fact that the pandemic still poses significant uncertainty on demand, we are reinstating our full year guidance for 2020, expecting an EBITDA between $6 billion and $7 billion before restructuring and integration cost. Global demand growth for containers is overall still expected to contract in 2020. And for the third quarter, which we are now halfway through, we expect demand to progressively recover and for the third quarter in a mid-single-digit contraction. Organic growth in Ocean -- our own organic growth in Ocean is expected to be in line with or slightly lower than the average market growth. We also maintain our 2-year CapEx guidance of $3 billion to $4 billion with steps being taken to reduce CapEx in 2020. And we expect high cash conversion still for both years. And with this, we will open for questions.
Operator: Our first question comes from the line of Neil Glynn from Crédit Suisse.
Neil Glynn : If I could ask two questions, please. The first one on the Ocean business, you've seen a high-teen EBITDA margin in the first half and that seems to be implied for the full year. And that mirrors Maersk Line's 2010 performance, which obviously proved quite temporary. So just interested in your views on capacity management. Those parts are clear. But as competitor capacity comes back, to what extent do you feel you can better control your margins now than in the past and how? Then the second question on free cash flow. I think your comments are very well understood. But I'm interested, to what extent is each division steered based on free cash flow targets at the moment and potentially in the future? And do you expect to eventually guide on group free cash flow to put the pieces of your overall messages together as your free cash flow to the market as some of your peers do?
Søren Skou: Yes. Thanks, Neil. This is Søren here. I think many things are obviously different between the global financial crisis and this pandemic. And that was what we also sought to illustrate in the charts where compared those 2 time periods. I think, first of all, we don't have any plans to change our approach in terms of matching capacity to demand in an agile fashion. In 2009, we actually kept the network operating for a long time and lowered prices instead in order to fill a network that was too big. And other thing that I think that is very different today is that in 2009, the industry, and for that matter also ourselves, had an order book which was probably equal to 50% or 60% of the existing capacity. Today, the order book is 9%, last number I saw. So it's a much different capacity outlook coming at us. So I think, at least for our own part, we -- in 2009, we actually -- we went after market share. And this time, we are saying very clearly and have been saying for a couple of years, and the pandemic has just strengthened our resolve, that we want to focus on profitability and serving our customers, basically.
Patrick Jany: I'll take then the second question. Yes. So as you have seen, we obviously focus on profitability and on cash flow, right? And we took the liberty now to change the definition of free cash flow this quarter to make it simpler and to really show the free cash flow generation, which is quite tremendous this quarter. And we expect to continue in the coming quarters as we maintain a very strict discipline. I think this discipline and focus on cash is across the whole organization. Thereby, I would say, all businesses contribute to this cash. There will have different levels of performance depending obviously on the quarter, sometimes different ROIC levels as well, in cash ROICs. But we are quite happy to actually show an improvement across the board. And I think we'll continue to show at a group level, if there would be a significant, I would say, evolution in one segment, obviously, we'll provide this transparency. But I think it's important to see it as a group figure and a group achievement as well.
Søren Skou: Perhaps I can just very quickly add. This is really the extension of the strategy that we have been working on for the last 4 years. I mean we've said 4 years ago that we would -- we wanted the Terminals business to actually generate cash. It had been investing a lot over the previous decade, reporting good earnings but never generating any cash. That situation has reversed. We have also been very clear that we will have a very disciplined approach to ordering of new ships. And today, we don't have an order book. And therefore, of course, we are generating a lot of free cash flow.
Operator: And the next question comes from the line of Lars Heindorff from SEB.
Lars Heindorff: Two questions also from my part regarding the Ocean part of the business. The first one is on the rate, very strong rate development, also what we can see from the CCFI and SCFI index here into the peak season. But you did have a report, a sequential decline in your average rate in the second quarter. I assume that, that was partly caused by lower BAF because of the bunker element has been going down. That is likely to continue to go down into the third quarter. So the question is if you can give us an indication about which direction sequentially on the average rate and also the element of bunker going into the third quarter. That's the first part.
Søren Skou: So you're right that we have -- if you look at our contract portfolio, which you know is about half of our business, some of the contracts are monthly adjustment of BAF and some are quarterly. So obviously, those that are monthly, they have started to adjust downward during the quarter. The situation right now is that though that, on average, we have been able to, if you will, make that up with increasing spot freight rates.
Lars Heindorff: And the contract element of your rates, is that sort of dropping stable? Or can you give us an indication on that?
Søren Skou: So we don't have many contract rates that are being negotiated at this time during the year. So the contracts that we have are fairly stable. And given the big difference between spot market and the contract market, then I'm sure our customers are very happy with the contracts.
Patrick Jany: Maybe to complete your question on the next quarters, I think we will see this evolution continue, right, as the structure is what Søren described. And therefore, you will see on the contract rates a progressive reduction because of the BAF and also a slight increase in bunker price, which was the second part of your question, as bunker prices have come up a little bit.
Lars Heindorff: Okay. And then the other question was what you call other revenue in Ocean. I realized that there's an element of MOT in there, which is, if I understood you correctly, was negative in the quarter. But the number still is fairly high, around $1 billion on a quarterly basis. Now the decline in the capacity and the change in, I don't know, the attitude, if we call it that, to this industry, where you've been becoming a net seller rather than buyer, I would have thought that the VSA income would sort of gradually and slowly decline. But this number appears to still be fairly high. And I'm just wondering if you could give us maybe a little bit of help on that part of the revenue line.
Patrick Jany: Maybe to help you on the components, there are different components here. So you have obviously some -- the income of MOT, which was, yes, fairly stable compared to the previous quarter and it's not a major part here. The bigger part here is as well the revenue from the hubs, which we are having with other carriers and charges for the [Indiscernible] and so on, which also were quite a significant element. So overall, it has been actually quite a stable development compared to previous year, pretty much. I think the same figure as far as I recall. And it's the order of magnitude you should count on as well for the coming quarters.
Operator: And the next question comes from the line of Patrick Creuset from Goldman Sachs.
Patrick Creuset: And first of all, congrats on a strong performance and success of your strategy in recent years. I've got three questions, please. The first one is just a follow-up on your rate comments. If you could then go into a little bit more detail, first of all, on the Pacific, I think the contracts were implemented a bit later this year. The trade is doing very well. So perhaps give a bit of color there, whether we should expect those contracts to go up despite the falling BAFs in the second half. And then also specifically on the North-South network and how you see current trading evolving into H2.
Søren Skou: No. Patrick, we will -- we're honoring the contracts that we have made. So we don't -- so there would be a stable development on that, irrespective of what happens in the spot market. I think on the -- I'm not 100% sure on your question on North-South. But obviously, as the pandemic has moved around in the world, it kind of got last to South America and hasn't really hit Africa to any dramatic extent. And that's why we have a very massive decline in this quarter and right now in Latin American trades, where we are overweight.
Patrick Creuset: Should we expect the North-South rate to continue to go down in the second half?
Søren Skou: I can't give you any prediction on the rate developments in that trade. We, of course, hope that also in Latin America, the pandemic will get under control in the coming months. But we are not experts on that.
Patrick Creuset: Okay. Second, on CapEx, you've guided for 2020 and '21 like $2 billion growth. Without guiding beyond '21, can you give us an idea of the sustainable CapEx level essentially to [Indiscernible] terminal concession life [Indiscernible]. Would it be materially higher than the $2 billion [Indiscernible] for '21?
Patrick Jany: Yes. To your question on CapEx, I mean, we have guided, as you mentioned, for 2021. We are totally within that guidance, on the good side of it, as you see from the pace that we have in 2020. I think to your question on the mid-term, I think we obviously will come back on with a next guidance when the year develops by Q3 or early in 2021 to give you a guidance precisely on the next few years. But from the order of magnitude, I think we are not expecting an explosion of CapEx. We actually have, with the current framework, quite a stable CapEx in the coming years as well. So I think it's quite a regular expense, just in the magnitude of what we have announced as well.
Patrick Creuset: Right. And then last one then, it tends to be [Indiscernible] that free cash flow you're generating at this time. Can you just remind us the order of priority in terms of the use of cash between delevering further, going back to perhaps larger M&A and then buybacks and divvy.
Patrick Jany: Well, I think, first of all, the priority is to generate the cash, right? So we are quite happy on the quarter. The $1 billion is a nice number. And then when it comes to use of cash, clearly, I think we have now guided as well that we will come back latest with the full year results on the next plan of further share buybacks and return of capital to the shareholders. Our dividend policy is unchanged as well of 30% to 40% of profit. So these are strong elements, which are there and will continue to be present for the future. Given the cash flow generation that we have and we expect to have, we will hopefully have significant means as well to continue to develop our strategy. But as you have seen, we have been very disciplined. We are looking at buying capabilities to really build up the integration of our logistics business with our container business, allowing our current Ocean customers to benefit from our services as well on the inland. And therefore, it's a very targeted capability building that you should expect as well.
Operator: And the next question comes from the line of Sam Bland from JPMorgan.
Sam Bland: I really only have one question. Just through, I guess, the second quarter, the industry and industry profitability levels have benefited from blank sailings and other capacity measures. To what extent do you think those tools are really just something that we've seen in this extraordinary environment? Or do you think those similar tools could be deployed on a more kind of business-as-usual basis going forward in subsequent years to help support freight rates and profitability?
Søren Skou: Yes. In 2009, the thinking in Maersk, and I think for the whole industry, was that if you had a network, then you would have to keep sailing it and then fill it up at all costs. And obviously, that approach has completely changed. And we are now operating our network in a much -- in a fashion which is very similar to what the Korea express and package guys are doing in terms of UPS and FedEx. And there, we are not sitting and discussing how many airplanes are on order and the capacity in the network. There, they deploy their flights when there's a demand and they -- when there's not, they don't. And that's really what we have been doing through this crisis. And so I can say certainly for Maersk, that will be our approach going forward. And since it has worked so well for us, why should we change that? It's the structural capability that we didn't have to the same extent in 2009, not just because of the way the culture and the way of thinking, but also the fact that we now have a much bigger network makes it much simpler to take capacity out. If you are operating 2 services from Asia to Europe a week, then it's a huge decision to take out one string because you cannot cover all the ports, then some customers will not be served. If you're operating 13 or 14, as we did before the crisis between -- then it's quite a simple proposition to take out capacity and still serve all customer demand. So in my view, this is a structural change.
Operator: And the next question comes from the line of Dan Togo from Carnegie.
Dan Jensen: And also a couple of questions from my side. In terms of the markets and how volumes has progressed, it seems like they have surprised a bit on the positive side, at least compared to how we viewed it during or just during the pandemic. Is there any element of windfalls in the volumes right now coming back here in June, July, August due to restocking, air cargo volumes still being extremely low and seeking different modes and at least return a bit more negative later on? Is there any element of windfall? So that's the first question.
Søren Skou: Our visibility is not fantastic. I mean, on the positive side, you have seen the U.S. market, the Pacific market rebound very strongly after the country started to reopen. The fact that the stimulus packages, the $600 check has really meant that the consumer has spent a lot of money once the economy opened up again. We, today, have more capacity deployed in the Pacific serving the U.S. than we had in the same period last year to cater to a demand that is up between 5% and 10% year-on-year right now. And that's, of course, we are getting some benefit from the fact that the consumers are spending more of their dollars on goods as opposed to services. So the money that they cannot spend in restaurants and on travel and vacations and events, part of that is being spent on a new flat screen and a new patio furniture. So that is, of course, to our benefits. In other markets, such as particularly Latin America, I mean, volumes are down 25%. And it is looking really, really difficult. So I think this development is likely that you have a big drop in demand while the country is fighting the virus. And when the economy starts to reopen again, then you see a bounce-back, which, I'm sure, also includes some restocking.
Dan Jensen: Okay. And then just a question on the digitalization because it seems to move very fast at the moment. I guess 20% per quarter is not at the run rate. But how far can you take it, the digitalization here on the spot volumes? And where can we see the benefits? Can you be a bit more concrete on what the benefits are for you here on the cost side?
Søren Skou: So we see plenty of progress and plenty of potential for expansion. And eventually, it will be close to 100%. I think what is a complication right now is to how to implement it in the U.S., where there are a lot of rules for how to file with the Federal Maritime Commission and so on that we need to resolve. The big benefits for us are that it's a commitment product. So it means that the customer mix of booking actually has to show up with a container or pay a penalty. And that, of course, makes it easier and simpler for us to plan utilization and we can avoid a lot of last-minute downfalls that we have to kind of plan in and then we risk rolling our customers when we get it wrong. So there's that benefit. And obviously, there's a cost benefit for us because the customer is doing all the work in terms of getting a price online, making a booking, doing the documentation and so on. So there's an SG&A benefit for us as well.
Dan Jensen: Okay. And then just lastly on ROIC and how we should see that developing, there's definitely some underlying improvement here. And Søren, you have mentioned plenty of times the [Indiscernible] service industry, and you mentioned it again here. Is this an industry we should look for to see where you will see returns, so to say, in the container industry going forward?
Patrick Jany: Yes. I think we obviously can only talk about our performance. I think you know that ROIC is a key priority for us. We show regularly, I think, the improvement on the ROIC and in cash ROIC. The cash ROIC gives you a bit of a lead indication on where the ROIC is going, right? So you've seen that we are now at more than 10%, 12%, which is a good performance clearly. What is more important is really the consistency of the improvement over the quarters and we are building up on that. So clearly, I think there's a wish here to improve returns, to reduce volatility of those returns through the cycle and earn your cost of capital, right? So there's still a way to go. But I think we start to see a real improvement quarter-by-quarter.
Operator: And the next question comes from the line of Parash Jain from HSBC.
Parash Jain: And congratulations, first of all, on a great set of results. I have two questions. Firstly, your guidance with respect to demand, not only in the third quarter, but the expectation that first half '21 perhaps will be something to the level that we have seen in 2019 is very reassuring. But can I quickly check your thoughts around supply? I mean what could possibly go wrong or right in the sense that we are hearing articles talking about equipment shortage. But more importantly, I was more curious to understand how are you managing your crew changes. I mean, will it, at any point, can lead to further capacity constraint as -- from the crew number, we'll continue to find it difficult to change in between as the lockdown persists with respect to international travel? And second question is more around, if you can share your thoughts about the freight development in intra-regional trade, which has seen a decline versus positive development in East-West and North-South? And is it more because of some changes in the routes or back on [Indiscernible] or we are seeing a genuine weakness in the reselling [Indiscernible]?
Søren Skou: Look, crew change has been a big -- really big issue for us or a problem because -- and it built up over the second quarter. In July, we had 2/3 of our crews -- we have around 6,500 people onboard at any given time. And in July, 2/3 of those were out longer than the longest period they were allowed out under their contracts. We have since then been able to deal with the issue or start dealing with the issue. We are now down to about 1/3 that are out longer than their contract allows. And we are making progress every day. It will still be a while before the problem is resolved. But of course, we're doing all that we can, including -- we have rented hotels capacity in Mumbai and in Manila. We bring in our seafarers, we quarantine them there, we test them and then we fly them to Denmark and distribute them from Denmark to the ships. We have also some arrangements in Singapore and Hong Kong. And I believe that our crews onboard understand that we take this problem very seriously. We spent a lot of money to help them get back home for their vacations, so they can see their families. And we are not expecting, if you will, if that's your question, it kind of [Indiscernible] or strikes or anything. But of course, we cannot guarantee anything. But we don't think it will impact our capability to run our network.
Patrick Jany: And your second question was on the intra-regional volumes. I think we have seen very mixed situation...
Parash Jain: [Indiscernible] development rather.
Patrick Jany: Sorry?
Parash Jain: Intra-regional freight rate trends. I mean the volume decline was understandable.
Patrick Jany: Yes. Right. Well, clearly, I think it's a bit correlated, right? I mean, clearly, we have seen very mixed volumes for -- in the evolution of the volumes. And also, this has an impact on the rates. I think we mentioned clearly the example of Latin America before, which is a very strong region for us, also in the intra-regional, the cabotage in Brazil and so on. And clearly, there, we do have a real impact on the COVID-19 crisis, which has depressed volumes and therefore as well rates. I think this will solve itself region-by-region as flows stabilize. And I think we're confident here that as the crisis progressively is resolved, we will have a normalization, both on the volumes and on the rates. But we don't see the structural issue. It is really circumstantial correlation now because of COVID-19.
Operator: And the next question comes from the line of Marcus Bellander from Nordea.
Marcus Bellander: Some questions about Maersk Spot. Do you think that the desire for guaranteed loading has been unusually high in Q2 due to the supply chain turmoil? And is there a risk that volumes will move away again from the Maersk Spot when things calm down a little?
Søren Skou: It's possible that there has been a bit of, if you will, flight to safety that has benefited us. But we actually -- we are 100% convinced that the ease of use of the product is such that the uptake is driven by this just being a good product and that we will continue to see growth in the usage of that product.
Marcus Bellander: Okay. And I've heard some freight forwarders complain that you do not differentiate prices on Maersk Spot, which I would think would mean a higher average price for you. Is that the case?
Søren Skou: Well, it's in the nature of a product that you buy online that there's no differentiation on the price. But the price changes, so to speak, all the time. It's being priced with help of algorithms. And of course, we're looking at the uptake curve. Just it's very similar to how it works for airlines and the price setting for airline tickets.
Marcus Bellander: Okay. But you did say that costs were lower in Maersk Spot. And then I think I saw that Hapag-Lloyd launched a similar product recently. So I'm wondering, is Maersk Spot another phenomenon, where Maersk kind of leads and then makes a bit more money on it for a while that competitors then catch up eventually?
Søren Skou: Yes. We have noticed that a number of our competitors actually now offer a version of a product like Maersk Spot. And frankly, I think that it would be very strange if our industry would not develop in the direction that our customers buy online and then just like we do in business-to-consumer industries. And therefore, a version of a spot product, in my view, will be table stakes in 2 to 3 years. And yes, that's how I see it.
Operator: And the next question comes from the line of Sathish Sivakumar from Citigroup.
Sathish Sivakumar: I have three questions. So firstly, could you please touch up on the cost savings that have been materialized this year as a result of pandemic? How much of it is actually structural and how much it is volume-driven, i.e., how much of those costs are likely to come back up when we see a recovery in volumes? And the second one, regarding the net debt-to-EBITDA, what is the ideal range in the near term and into next year? And how does this would fit with your buyback and CapEx plans for next few years beyond 2021? And lastly, are you seeing any pressure on credit terms or working capital from your customers and suppliers, especially during the peak of prices in Q2?
Patrick Jany: Thanks for your questions. So when you look at the cost savings, clearly, if you take the example of Q2, we had a significant reduction of cost. But obviously, volumes do play a part, right, that is clear as well as lower bunker costs. So the element here is we have tried to show it on the slide is really related the majority of volume-linked indirectly. But clearly, you save on the bunker consumption, you save on container handling costs, which if you assume that volumes rebound, then those costs will come back. But we have also improved on bunker efficiency and we have also improved significantly on SG&A as well. And here, by not only is it a COVID-19-related travel expense reduction, which probably everybody has in every company. So we would expect, if you look at the normalization of volumes, that a good part of the savings is actually repeatable and therefore sustainable. I think if you take a first view of around, I would say, probably a couple of hundred million dollars, it is solely not a false number. And again, as we highlighted, we will be working constantly on a cost measures and on further structural measures. So expect certainly more from us in terms of cost savings and simplifications, yes. When we look at the net debt development to EBITDA, our main goal here is to be investment grade. Clearly, the first objective is to generate the cash, reduce, I would say, the volatility here, have a solid EBITDA and cash flow generation and net debt will obviously decline as we have highlighted it. If you really look at the financial debt, right, without the leasing, which frankly is part of operations because we can always return the ships, but that's not the purpose, we are $3.1 billion, which is already -- it's a quite small number compared to the EBITDA. So on that point of view, we have a solid position in our view, which we will maintain. Clearly, any future move in terms of investments, acquisitions and share buyback and so on, the financing capacity, so to say, of the group, is always measured against investment grade and the solidity of that rating. Your third question was on the pressure on the working capital from our customers. I think we have actually done a tremendous job in the segments here. Our people have been very close to our customers. And if you see actually, we have an improvement of working capital in Q2, which means that we have a net inflow, which shows that we have been very aware of our receivables and payables positions. We actually, this quarter, have not increased any provisions in trade receivables because we feel that collection is coming well and we have a good contact here with our customers. So for now, I think we have seen actually a very disciplined organization and collection, so no specific pain in that element.
Sathish Sivakumar: If I could just follow up on the investment-grade comment that you made. So the investment-grade comment on your net debt-to-EBITDA, what is actually the range that you look at, excluding the leases?
Patrick Jany: Well, you see that's always depending on the rating agencies. You do have, as you know, for S&P, it's more free cash flow to net debt definition and not the multiple. So I think it's a multidimensional one. But I think it looks good actually on all the metrics from that point of view. I think we are convinced that it's good.
Operator: And the last question comes from the line of Frans Hoyer from Handelsbanken.
Frans Hoyer: Thanks for the comments on near-term demand. That's really helpful. Also about the -- on the equipment side and any imbalances on the equipment side, are they a factor right now in terms of influencing rates in the market, please?
Søren Skou: Yes. I think it's really hard to say. But there are plenty of reports out there that a lot of equipment, I mean, I'm not just talking for Maersk but for the industry, if you will, has been stock in Europe and the U.S. and other importing regions and is slow in finding its way back to Asia. I think, the leasing market is a good indicator and it's very hard to lease equipment in Asia, which does suggest that the equipment needs to get back from Europe and the U.S. to Asia in the coming months.
Frans Hoyer: Okay. I noticed also that Maersk Ocean has reduced its fleet quite significantly in the quarter during the Q2. And I was wondering if there is much more to be done there without shrinking the service network discernibly.
Søren Skou: Well, I mean, we started out the pandemic basically taking 20% of our capacity out for April. And then we have been, if you will, reinstating capacity. And we are probably 95% back to where we started before the pandemic. So we have plenty of opportunity to adjust back down again if we need to, hopefully. However, we are right in our predictions that volumes are sequentially improving, not the opposite, but that we will have to see how the world fares in a second wave. Our guidance assumes that there's not going to be -- there will not be a new global lockdown phase, but that lockdowns from a second wave will be local or regional in nature as we have seen in the last months or so in Europe.
Operator: As there are no further questions, I'll hand it back to the speakers.
Søren Skou: Yes. Thank you. I think this has been a very, for us, what we consider to be a strong quarter in terms of improvements. We are confirming an already existing trend of constant progress now over 8 quarters. We have done really well in Ocean this quarter. This is the reason for why we are doing better than the same quarter last year, predominantly and driven very much by our active approach on capacity -- managing our capacity and cost in general. I think we can -- we also are very pleased with the resilience that our Terminals business, our Svitzer business has shown. Despite a 14% reduction in volumes, we still managed to keep earnings flat in Terminals. So that's quite positive. We are, as we just discussed, coming out of this quarter with very strong balance sheet and strong cash performance. And not only have we improved the profitability of the business, but we also continue to transform with 2 transactions and -- in the logistics space, and we are ready to do more in the coming quarters and years on our transformation. So with all that, thank you very much for listening in, and I hope you have a good rest of the day.